Operator: Good morning, ladies and gentlemen, and welcome to the Digital Ally First Quarter Earnings Conference call. [Operator Instructions] This call is being recorded on Tuesday, May 21, 2024. This conference may contain forward looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We may use words and other expressions that are predictions of or indicate future events and trends and that do not relate to external matters, rather they represent forward-looking statements. 
 These forward-looking statements are based largely on our expectations or forecast of future events can be affected by inaccurate assumptions and are subject to various business risks and known and unknown uncertainties, a number of which are beyond our control. Therefore, actual results could differ materially from the forward-looking statements expressed in this conference call and readers are cautioned not to place undue reliance on such forward-looking statements. We generally do not publicly update or revise any forward-looking statements expressed in this conference call, whether as a result or a new information, future events or otherwise. There can be no assurance that the forward-looking statements contained in this document will, in fact, transfer or prove to be accurate. I would now like to hand the conference over to Canara, CEO. Please go ahead. 
Stanton E. Ross: Thank you. Thanks, everybody, for joining us today. I know we had a call not too far back in regards to our year-end numbers and gave everyone a preferral update. Obviously, this is our first quarter call. And while it's been such a short period, the timing between our 2 calls, really excited what all is -- has happened since we last had a chance to talk to you. 
 Obviously, you've seen some press releases on Digital Ally and some of the video solutions contracts that they've received, including the ones with the Kan City Chiefs. And also, you probably have seen that we've had another very quick turn on an S-4 filing that was done by Clover in regards to the purchase of custom entertainment from Digital Ally concerning the SPAC acquisition. 
 So we're really pleased that, that is progressing along very nicely. Hopeful to hear something in the coming days that we're getting close to having this completion, and then we'll move on, obviously, to all the votes and stuff necessary to get it finalized and then move forward for those of you that may be new to the call, you do realize that there will be stock dividends that would be shared with the Digital Ally shareholders upon completion of that. So really excited about it. 
 Clover stock is still holding very strong up around the $12 point. We're still real close to about a 4:1 ratio in regards to what the Digital Ally shareholders will get. So just been moving forward on it. Like I said, hopefully, you hear something back rather quickly from the SEC and get this thing buttoned up in the coming days. With that being said, we'll go ahead and do a recap of the first quarter numbers. Brody Green is here with me and is President of Digital Ally. So Brody, I'll let you take it. 
Brody Green: Thank you, Stan. And as Stan mentioned, it's only been probably 45 days since we last spoke. So not a whole lot of substantial changes, at least as far as the balance sheet goes, and we'll run through the Q1 P&L as well and compare it to 2023's first quarter numbers. 
 You guys probably noticed we filed our Q a couple of days late. That was just due to some -- right after the Q -- or sorry, the rest of the 10-K and the annual audit, it gets a little fast pace to get this Q wrapped up in time along with all the S-4 filings we've been working through for the business combination. So just a 48-hour delay on that, we do apologize, and we don't anticipate that being a trend here moving forward. 
 Going through the balance sheet. At Q1 of 2024, our total current assets were $15.1 million compared to $15.6 million at year-end, so really a $0.5 million change in total current assets mostly due to -- just -- that's mostly attributable to inventory decreases as far as what we have in stock here along with probably a couple more write-offs included within that as well as far as our reserve goes. 
 Total assets at quarter end were $45.2 million compared to $47 million at year-end. A lot of that's related to an asset sale we had during the quarter. Total current liabilities was slightly up to $24.7 million compared to $22.5 million at year-end, largely related to accounts payable and some debt obligations taken on during the first quarter as well. 
 Total liabilities, a similar increase of up to $37.6 million compared to $35.6 million at year-end, so up about $2 million, again, related to accounts payable and some debt taken on during that first quarter. You'll see our stockholders' equity is $7.5 million at the end of first quarter compared to $11.5 million at year-end. That's just in line with a small decrease in assets and a small increase in liabilities. 
 As far as the P&L goes, revenues were down in Q1 of '24 to about $5.5 million compared to $7.7 million last year in the first quarter. However, the real sticking point is our gross profit remained flat at $1.5 million compared to the first quarter of $23 million, which is really a testament to us really focused on rightsizing and working towards profitability and right -- focusing on profitable revenues rather than just revenues for the sake of revenue. 
 So seeing that gross profit number remain at $1.5 million with a $2.2 million decrease in total revenue is exactly what we are hoping for as far as the gross profit comes. And then another big change is our total SG&A for the quarter was $5.2 million compared to $7.7 million in the prior year. So a $2.6 million -- $2.5 million, $2.6 million decrease in SG&A, which is very substantial, which brings our operating loss to $3.6 million compared to $6.2 million last year. So a large improvement in our operating loss compared to our first quarter of 2023. 
 Obviously, still a lot of work to be done, but that's definitely a big step in the right direction to keep our gross profit flat and our operating loss substantially lower. Some other -- you'll see in our stockholders' equity section, really no change in that section, some minor stock grants during the quarter about it. We're really trying to keep that ratio for the business combination, as Stan mentioned, as close to 4:1 as we can. We're close to the finish line there. A few other things just to touch on. Our deferred revenue is up to $10.6 million at March 31, '24 compared to $8.9 million at this time last year. 
 So up about $1.6 million, which is attributable to our subscription model that we talk about every quarter and just those contracts continuing to pile up as deferred revenue gets larger and larger each quarter as we anticipate continuing on here every quarter after this. Like I mentioned earlier, the decrease in inventory down from $3.8 million at year-end to $3.1 million. 
 Our gross inventory was about $7.6 million compared to $8.4 million at year-end. So that's really attributable to the decrease in net inventory. One large item during the quarter, and I don't think Stan touched on this yet was the acquisition of Country Stampede that we completed on March 1 of '24. So Country Stampede, I'm sure Stan will touch on further once I wrap up. But that's a very, very large country festival that's very prominent in the Midwest. It's a 3-day festival that brings in -- I mean, I think it's between 15,000 and 25,000 people a day throughout. So it's a very well-established festival here in the Midwest that there's -- I think -- whether it was the date is June 25 through 27 this year. 
Stanton E. Ross: Through 29th, I believe this year. 
Brody Green: June 27 to 29. So again, that's coming up here in about a month, and that acquisition is very exciting for the company and for the customer entertainment sector as well. As you'll see in the 10-Q, we have our segment footnote, I think it's footnote 18. You'll see the net -- the revenues for each segment of video did about $1.7 million this quarter. Revenue cycle management did $1.4 million, and the entertainment section did about $2.4 million. So that brings the total revenues to $5.5 million. 
 You'll see our gross profit in the video side was almost $600,000. Revenue cycle management was about $0.5 million, and the entertainment section was also about $0.5 million. You'll see there's a large depreciation and amortization on both the video solutions side and entertainment side. That's due to amortization with the acquisitions the entertainment section have done. So with TicketSmarter, they have the large amortization that hits every quarter, which flows through the P&L, unfortunately. 
 Now on the video side, it's depreciation of some assets on the books here on the video side. So overall, a lot of positive signs in this quarter, getting our gross profit to remain flat compared to this time last year even on lower revenues is very exciting because that means our goal to rightsize everything and focus on profitability is coming together. 
 Obviously, still some work to do, but at least we're turning in the right direction and very excited about the future as we continue on here. One last item, as Stan mentioned, the S-4 continue -- we continue to file those. And we're on Amendment 4 for now with the SEC. We got that on file on May 13. So just 8 days ago. We expect your comments back yet this week from the SEC. They only had 6 comments on this last version. 
 So hopefully, those are wrapped up, and then we can -- once we get here back and then we'll promptly file another version with our Q1 numbers included as our numbers are now stale. So we'll get their responses on those 6 comments, drop in Q1 numbers for both custom and the SPAC. And hopefully, that version can go effective shortly thereafter. And we'll obviously keep you guys posted on that. And I encourage you to look at Clover's filings, the C-L-O-E on NASDAQ, that's where the S-4s will be filed within the spec. And then for any further details on our financials for the first quarter 2024, please jump into EDGAR and read our Form 10-Q for more details about our activity throughout the quarter. I'll turn it back over to Stan. 
Stanton E. Ross: Thanks, Brody. Yes, a couple of things. Obviously, [indiscernible] aligns its video solutions and its position in law enforcement is still strong and still thriving in those areas, and they continue to pursue new customers with the commercial division. And so very excited about that. 
 The acquisition that Brody was talking about on Country Stampede, that particular festival has been around for 28 years. And everyone from the Taylor Swifts of the world, Blake Shelton, and many others have performed at this festival over the years, and it has drawn big numbers in the past. And depending on, I think a lot of it is the venue that it's at in the past, it used to be at a state park. 
 It's got moved a couple of times, and we'll look at what we need to do to get back to a larger venue than what we have the capabilities of right now. But very excited. The numbers we'll hit in this quarter, the second quarter with it being the last weekend of June. We also will be announcing the 2025 lineup. We also have additional festivals that were going -- that customer entertainment will be doing yet this year. 
 And so excited for its growth as well, let alone the ticketing platform that we're able to utilize such as Country Stampede, we're using our own ticketing platform through TicketSmarter. And so it's nice because -- and I've said this time and time again, as we do these events, providing the venue doesn't have something already in place, we will also be doing the ticket sales as well, which is just an added benefit and also helps to the profits associated with the events. 
 So very excited that we're close to the finish line on the business combination agreement. And as soon as we do hear back and we plug in these numbers, we could turn that right back around to them and hopefully then go effective. So Julie will then open this up for any type of questions that we may have with our listeners. 
Operator: [Operator Instructions] There are no questions at this time. I will turn the call back over to Stan Ross for closing remarks. 
Stanton E. Ross: Well, again, thanks, everybody, for joining us. And like we said, we know that it was only about 45 days ago that we were having this call and a lot of things have happened very positively. We know that there's going to be potentially another exciting call here in the coming weeks so that we can share with everybody. So anyways, thank you. Have a wonderful day, and we'll wrap this up. Thanks, Julie. 
Operator: Ladies and gentlemen, this concludes your conference call for today. Thank you. You may now disconnect.